Stig Christiansen: Good morning, and welcome to Prosafe's second quarter 2021 results and business update presentation. Turning to Page 2, you will see the familiar disclaimer, which is identical to the previous disclaimers. So we go quickly to Page #3, containing the agenda. We will endeavor to give a short and concise, update on the situation in Prosafe, and we will shortly start with the main priority. Stig will provide an update on the financial restructuring process. I will take us through the highlights for the quarter. Stig will comment a bit on the financial results for the quarter and I will round us off with an update on the commercial activity and operational activity and summarize the presentation. So with that introduction, I will ask Stig to take us to Page 4 and give an update on the financial restructuring process. Stig, over to you.
Stig Christiansen: Thank you, Jesper, and good morning, everyone. A short update on the financial restructuring process. We have, of course, done our utmost to keep you all continuously informed via press releases. So there might not be much news. Having said that, I think it's important from our side to underscore the fact that we are on track. These processes tend to take time. But other than that, we are on track with the support from a clear majority of all our lenders. And I think we are quite pleased despite the time involved that we now seem to be getting very close to implement a new financial position for the company on a consensual basis, which is very helpful. According to the current plan, as recently announced, we are on schedule to have an extraordinary general meeting towards the end of September, where we assume the solution agreed with the lenders will be approved. And on that basis moving forward, we continue to anticipate that we will have the full solution implemented and effective before or around year-end 2021. And in short, just to remind everyone and without going into the specific details, we will see a significant deleveraging of the balance sheet, about 75% debt reduction and of course, corresponding significant reduction in new debt service cash costs and a more robust financial situation than we have had for the last few years. A consequence of this, which needs to be highlighted is, of course, that although the company following the restructuring will be left with gross debt of about USD 343 million, excluding the Safe Eurus, which is financed with seller creditor in the yard. The existing banks and other creditors will end up owning 99% of the shares in the company were the existing, i.e., current shareholders and bondholders or convertible bondholders will then be left with 1% of the equity. But to round off, we are on track. We are pleased with the corporation with our lenders and the opportunity to implement the solution on a consensual basis and we are doing our utmost to have this in place as soon as possible and certainly before year-end. And we will, of course, keep the market continuously updated as things progress. And I think on that note, Jesper, I will pass the word back to yourself.
Stig Christiansen: Okay. Thank you, Stig. I think then we can turn to Page 6, which contains the highlights for the quarter. The fleet utilization came in at 65.8%, compared to only 6.5% a year ago, a clear indication that activity is returning to normal in our segments. And the temporary pause, which COVID post upon is now coming to an end. Consequently, the EBITDA came in at $18.1 million, compared to $10 million negative last year when everything was paused due to COVID. Cash flow from operations was negative of just over $21 million, which is mainly due to working capital and logical consequence of our increased activity and the fact that we get paid from our customers a bit later than we make the earnings. Liquidity reserve stands at approximately $120 million. And as you will be aware from the previous communication, that would be reduced a bit further when we implement the restructuring that implies a cash payment to our first priority, lenders in conjunction with the significant debt reduction, that Stig just mentioned. In operations, we had 5 of the 7 vessels we have on the water working. As you well may be aware, the 6 vessel, the Safe Concordia actually commenced working as well in July, shortly after the end of the quarter. We were fortunate enough to see customers exercising options under their charters for both Safe Eurus and Safe Zephyrus. And we are at the time of the year where there normally are ongoing commercial negotiations for work in -- for work next year, and we have quite a few ongoing both in North Sea and in Brazil. With that, Stig, I will hand the word back to you to go to Page 8 for a few comments to the financial results.
Stig Christiansen: Thank you, Jesper. Correct. Slide 8, the income statement, and I'll do this in brief. It's actually -- it feels good. I think it's other words I was looking for. It feels good to be able to talk to quarter, again, where we have had very high activity, as Jesper alluded to, with 5 of 7 vessels working and generating income, reflecting or leading to a fleet utilization in the quarter of 65.8%, which is about 10% higher than the fleet utilization in the same quarter last year, just by example, and equally so leading to operating revenues in the quarter of USD 50 million, which again is 10x what we achieved in the same quarter last year albeit a COVID year. So that's positive. And the other positive thing is, of course, this then leads to an operating profit before D&A, i.e. EBITDA of $18 million in the quarter compared to a negative of $10 million in the same quarter last year. Despite the good EBITDA or the relatively good EBITDA, the financials is, of course, taking the results down. Those financials will, of course, change significantly and become much lower. Hence, when we have been able to implement a new financial solution. However, currently, it leads to still a net loss in the quarter of $11 million despite a very good quarter, not only in terms of activity level, utilization and revenue and EBITDA, but also I would add in terms of operational performance, gangway connectivity. HSE performance and general performance through COVID challenges and such. So with those words, I'll move to Slide 9, which is then the balance sheet. And I think there's even less to say to the balance sheet. We have, as you know, still a significant negative book equity, just above $1 billion negative at the end of the quarter. Cash position, though, is $120 million at the end of Q2 2021. And I think the other main message, which is obvious to you all is, of course, we are in the process of resurfacing as soon as possible with a new balance sheet and a fresh start. So I think I'll just do it that short, Jesper and leave the word back to you.
Stig Christiansen: Okay. Thank you, Stig. Then we will turn to Page 11, which has our contract backlog overview. As we have mentioned, 5 of 7 vessels were working in the quarter. And as you can see, in the vertical red line and the illustration, we currently have 6 of 7 vessels working right now. And that means that we are back to almost full operations. And as we alluded to, safe operations in the quarter and naturally in our industry, which entails gathering a large number of people on the rig offshore, a number of new initiatives are required due to COVID. And I'm pleased to see that we have managed to keep our people safe while at work. And we, of course, will continue to do so. This focus in the near term is naturally 2022. The main focus right now are the 2 vessels, Safe Caledonia and Safe Zephyrus. Both are available for work in the North Sea in 2022 and outside the North Sea. And we have ongoing negotiations in respect of meaningful employment of both vessels next year. In Brazil, we have the Safe Notos on contract until mid-November, and we expect that, that will be followed by a shorter or longer term extension. So from that point of view, we are at the part of the year where we would expect to see the commercial endeavors crystallized for 2022, and I would expect some conclusions within the next 30 days or so. Turning to Page 12. We can see a fairly stable order backlog development over the past quarters. We are at a bit low point right now, but as I alluded to just on the previous slides, ongoing negotiations for work next year means that we expect to add meaningfully to the contract backlog within, for instance, the next 30 days or they are about. Rounding us off on Page 13. The summary refers to Stig's would update on the financial restructuring process, which seems to be very much on track, focusing on implementation of the agreed solution with supported by a very large majority of our first priority lenders and implementation of that before the year-end. The operating status and financial results, good fleet utilization, 65%, positive EBITDA of $18.1 million, a fairly healthy level and then cash flow from operations negative. But a logical consequence of the increased activity. The EBITDA will, of course, translate into cash at later stage. Liquidity reserve, $120 million will be reduced when we implement the restructuring as we have informed previously. And sit in a different way, as I started by saying it's a busy quarter, currently 6 out of 7 vessels are in operation, a very welcome return to normality for us and options have been exercised. There's still a bit left under the options that could add further to our earnings. And we are in negotiations, mainly in the North Sea for a fairly meaningful chartering of the vessels Zephyrus and Caledonia next year. The initiatives to strengthen our ESG profile are ongoing. We believe that in the near term, we should be on par or ahead of the other actions in our segment in terms of emissions. But naturally, we have further ambitions and we will update on that as we go. Consolidation is must in our segment, and it will happen and Prosafe naturally intends to take an actor role as soon as the balance sheet is concluded with the restructuring process. With that brief run-through of the financial results and business update, I think we will open for any questions, if there should be any. Stig, do you see any questions that we should address?
Stig Christiansen: Not yet Jesper, I was just going to say. I hope people should have picked up that the questions should be sent through via e-mail. So far, there are none. So yes.
Stig Christiansen: Yes. Let's give it 15 seconds. So if anyone is not familiar with the usual practice than feel free to send any questions through. Okay. Stig if -- I think if we have not received any e-mail now, I think we can assume that there are no questions to the presentation this time around. This is fine. Agree and just thank you for attending and actually will keep the market updates with -- updated with developments. Thanks to all for attending, and have a nice day.
Stig Christiansen: Thank you.